Billy McCarthy: Good afternoon. Thank you for joining us today for Comstock's First Quarter 2025 Earnings Call and Business Update. I am William McCarthy. Today is Thursday, May 08, 2025. We are streaming live today and the session is being recorded. A replay will be posted shortly after we adjourn in the investor relation section of our website. The address is comstock.inc/investors. Earlier today, we filed our form 10-Q for the quarter ended March 31, 2025, and we issued a press release summarizing first quarter results. Both documents are available on our website. Again, comstock.inc/investors. As a reminder, Comstock is listed on the NYSE American. Our ticker is LODE. Joining me today is Corrado De Gasperis, Comstock's Executive Chairman and Chief Executive Officer. During the prepared remarks, we'll cover three areas, including financial and operating performance, integration milestones across our renewable fuels and critical materials platforms, and our strategic outlook for the balance of 2025. After our prepared remarks, we'll take questions. We appreciate that you submitted over 50 questions in advance of the call. If you do have additional questions during the call, please use the Zoom Q&A window and we'll address as many as possible in the time we have. Today's discussion will include forward-looking statements. Actual results may differ materially due to risks and uncertainties detailed in our SEC filings. Full risk disclosures can be found in those documents available on the SEC filings page of our investor relations website at comstock.inc/investors. With that, it's now my pleasure to introduce our Executive Chairman and Chief Executive Officer, Corrado De Gasperis. Corrado, the floor is yours.
Corrado De Gasperis: Thanks, Billy, and welcome everyone to the Q1 2025 business update. The quarter was packed with a lot of activity. So let's start with the first area of financial and operating performance, as Billy said, where all of our actions have really been directed to positioning these companies for growth. So that's where I'm going to focus the discussion. The growth profile for both Comstock Fuels and Comstock Metals is rapidly developing. And we've now attracted Keen and Aligned Capital into our existing shareholder base. We feel quite fortunate when we look at the top 5, the top 10, even our top 50 shareholders. I've spoken to most of you directly over the past few months. And I just wanted to thank you for listening and, frankly, participating in your own way as we all work diligently towards our goal. We're also engaged with some of the most sophisticated industry partners for technology, like NREL, feedstock like Hexas, operations like Marathon, customers like RWE, Offtake, again, like Marathon and many others. And with some now near final in their diligence on direct investments through the fuels Series A, while we simultaneously explore deeper integrations and strategic transactions with these same companies. None of this would have been possible without the increase in our authorized shares that we affected back in February. And I appreciate everyone's effort in getting that completed during the first quarter. The company's authorized share capacity is now properly repositioned for safely capitalizing on all of these opportunities. We subsequently completed two successful settlements of our prior outstanding commitments that resulted primarily from the acquisitions of our core IP for fuels, including our Wausau, Wisconsin assets, and even some of the recycling technologies that we've been instrumental in advancing for both fuels and the metals businesses. We eliminated significant upcoming cash payments with those transactions. And in both instances, while we even negotiated a nearly $1 million reduction in the overall commitment, and recorded that financial gain in our first quarter results. We did do this by issuing just under 1.8 million shares of Comstock. That if when liquidated by the counter counterparties by more than the remaining commitments, then that excess would be returned to us in remaining shares or even possibly cash. One of those transactions also resulted in a spike in our R&D expense during the first quarter. Overall, R&D increased by $2.4 million in Q1 compared to the prior year. And the takeout of one of those obligations was the reason that we had to record a onetime $1.5 million non-cash expense charge to R&D during the quarter. But R&D spending was otherwise still up by about another $900,000 compared to prior year. And there's an even better story here. About half of that increase comes from the aggressive ongoing collaborations with the National Renewable Energy Lab or NREL, where we're pursuing higher yields, lower operating and capital costs, and the possibility of shattering the blend wall for synthesized aviation fuel or SAF. And additionally, to a much lesser extent, we increased R&D spending due to the acquisition of the Madison Facility during Q1. These transactions have not only -- all of these transactions as we roll that all up together have not only created a world class integrated Wisconsin based product development platform, but it's also catapulted our leadership in intellectual property for these lignocellulosic technologies. Wherein we now have consolidated and integrated a system of interdependent IP that seems nearly impossible to replicate. I've heard some of you say it's impenetrable, but I would maybe better suggest irreplicable. In either characterization, our active IP portfolio, it's just remarkable to say the least. One last point on R&D and innovations. We're extremely pleased to announce that we recently hired Dr. Elvis Ebikade into our newly created position of Director of Aviation for Comstock Fuels who will lead all of our SAF initiatives. Dr. Ebikade was recently a leader at Southwest Airlines for their commercial SAF initiatives and remarkably is also a leading lignocellulosic material scientist. Even cooler, his first name is legitimately Elvis. Our fuels team will have a more comprehensive release on this expanding team and the roles very, very soon as it's all being synchronized with the prerequisites that we're working on with the Series A efforts. However, just to say that between our own remarkable scientists, chemists, engineers led by David Winsness, who's our now newly appointed Chief Technology Officer for Fuels, Kevin Kreisler, who leads Fuels, and Raul Bobbili, our Chief Engineer, plus the recent integration of an incredibly experienced biofuels product development team consisting of the great engineers and chemists from the former Marathon/[Indecipherable]/Madison operation. There's just there's too many to name today. Although, let me let me just try it. You know, Andrew, Dana, Colin, Kaylee, David, Rory, Tucker, Maher, Patrick, another David, David, two Davids. Yes. I got it. But when you add Dr. Samek and his team at RenFuel, plus Dr. Beckham and his team at NREL, and now Dr. Ebikade Elvis joining us in just a few weeks. I mean, you're really witnessing the assembly of an unprecedented biofuels technical team. I think, we're humble in most respects, but honestly with this team, which is growing rapidly, we may already be peerless in this, in this industry. Despite growing our team, administrative costs were down by nearly 10% compared to the prior quarter of last year or about $300,000. We also made nearly $1 million in equity-based investments between Hexas and RenFuel over the past quarter, past three or four, maybe five months. The manner and strength that we're building these nodes into our system shouldn't be underestimated. We're integrating and enabling an unprecedented renewable biofuel system from waste to farm to fuels. As you all know, we've also raised $10.6 million early in the first quarter from the 2025 Kips Bay Convertible Note before we affected the split. Since then, we've issued nearly 5.5 million shares and significantly reduced the outstanding balance of that note down to $4.35. At current prices, we need another $1.7 million to fully extinguish that note. We certainly don't expect and certainly hope that we're not converting that note at the current prices. Our share price is gaining traction, and we are close to closing the first tranches of the Series A, valuing fuels significantly higher, significantly higher, higher even than the Marathon cap and effectively funding fuels. Today fuels represent the substantial majority of the company's liquidity. So this is a major funding and dilution relief for LODE, for us, for LODE. And we're seeing more and more long-term equity investors, new long-term equity investors willing to invest and hold and support the company by building a stronger base of capital to go from. And that pool of new investors just keeps getting bigger. These investors, like many of our top investors, see an extraordinary opportunity for clean sustainable energy and frankly, generational wealth. We will likely see the last of those convertible notes exit during the second quarter for us it's good riddance, and we're happy to be getting through that. The prerequisites for the closing of the Series A included increasing our authorized shares, eliminating legacy commitments, finalizing the separation plan for fuels. That is how and when will we spin fuels out? It included aligning the management team, updating the business plans, including for Madison, including for Hexas, which required intense integration planning during and throughout the entire past quarter. And then we'll close. It's been and is a tremendous amount of work. And it's also accelerated much of the work and execution. So, I guess, in concluding on all that, we're, we're almost there. The outstanding shares today are 28.6 million. We're actually expecting that number to be around 33 million when fuel spins off, wherein we will lock in that number of shares for the fuel separation and our ownership in fuels. The last part of the financial update is on revenue and operations. And this was just fantastic. Comstock Metals revenue soared in the first quarter where we received over 4 million pounds of recyclable material and invoiced $1.34 million in the quarter as compared to just a little over 350,000 last quarter. This is nearly a four-fold increase and comes with the news that we entered into a master services agreement with RWE Clean Energy with whom we are now partnering and partnered for the recycling disposal and decommissioning of RWE Solar Installations. RWE is the third largest renewable energy company and a tremendous -- it's the third largest renewable energy company with a tremendous Nevada and California footprint. RWE was really looking to establish a platform for partnering comprehensively in these end-of-life solutions. And the decommissioning that we completed established, frankly, an industry standard, a case study, if you will, that both we and RWE are keen to replicate four and two into the market for all future solar installations. We originally guided the metals 2025 revenue billings to be about $2.5 million, which in itself would have been about five times the increase from all of last year. But it seems likely now that we'll hit that number by Q3. So we need to increase our guidance. We're going to increase it down to over $3 million. And the outlook feels even better than that. However, we're still in an extremely early stage of market making. We're clearly winning with major customers because this market has three primary needs. First, it needs to eliminate the environmental liability. Second, it needs to do so efficiently. And third is that the recycling service provider must be able to scale. They need scalable solutions because they have millions and millions and millions of end-of-life panels coming home to roost. By comparison, we did just a little over 80,000 panels in Q1. A drop in the proverbial bucket. Our permit submission initially enables us with what we plan to build to do 3.3 million panels per year or about 100,000 tons. But there's a lot of permitted headroom to grow from there, even in our first facility. Critically, the third thing that recyclers must do to meet the needs of the market is ensure that the environmental liability is fully terminated. And by far, the most efficient and expedient way to accomplish this is with a zero-landfill solution. As many of you have now just read, we are the only company in North America that is R2 Certified, Responsible Recycler by the Solar Energies Industry Association because after a full audit, we have demonstrated that our panel processing with our proprietary thermal methods produces 100% commodity ready products, wherein all parts of the panel, including the glass, the aluminum, the fines, anything is fully recycled. 100% zero landfill, 100% materials sold, 100% materials reused. And we do it efficiently. We have an extremely low-cost operation. The biggest competitive issue in cost is transportation associated with the relative distance to transport the panels to the recycler. Even though we only have one facility today, we're currently winning business from coast to coast. For sure, we're winning in Nevada. For sure, we're winning in California, but we're even winning in Florida. We're winning in New Jersey and in Pennsylvania. And we're also aggressively hiring and building marketing staff today as we speak. But our unit cost and our economics are excellent.\ The pricing for recycling is at expectation, and decommissioning revenues are growing much faster than we expected. The P&L won't show these margins today from just the demo scale facility because our operating expenses are being advanced aggressively to establish this platform. And we're focused on permitting, and we're focused on building, and we're focused on logistics and storage and market making. The facility is too small to absorb all that investment. However, at this pace, the year would still bring in net positive cash. We also installed additional scrubbing and air quality control systems during the first quarter that resulted in less processing but much more receiving and storing. So we end up the quarter with about $750,000 in actual revenue in the P&L in Q1, but another $750,000 in deferred revenue. The cash guys don't distinguish between P&L and deferred. It's all cash, it's all billed, and all represents money coming into the company in the second quarter. At the full industry scale, we expect robust cash margins, consistent with any-and-all previous guidance. We if anything, we're happier. We've also fully engaged with the largest customers in the market. I'm talking well beyond RWE. We have at least four more master service agreements in progress. So as great as the RW success was, and it's just the tip of the iceberg, and it is great. It's just starting, and it's just happening here with metals. Let me cover the rest of the milestones for metals and fuels, the second category that Billy referred to. And then we'll wrap it up with the outlook and go right into, Q&A. In terms of the milestones, I've already covered the biggest Q1 achievements for metals, which was the securing of the RW business, the R2 certification, and the above expectation sales for the quarter. But let me also add that the facility is now operated for over one year. The R2 designation really provides our customers with a mature certified third-party assurance that we are the only true certified zero landfill solution. This notion of a silver mine that never stops producing is starting to come into plain sight for more and more of our stakeholders. For Comstock Fuels, it was also an incredibly productive quarter. Wherein, if you can imagine, we closed on the strategic Series A investment with Marathon, likely valuing it at $700 million for the fuels business alone. This includes the acquisition of Madison, and we completed all planning for the integration of our two Wisconsin sites, Wausau and Madison. And we can now fully go from woody bead stock, which Madison could not do, to weekly barrels of fuel, which Wausau could not do, and together produce up to two barrels of fuel per week. Those plans are completed. They're fully integrated. The teams are on it, and we're working towards that, which will also allow us to advance our systems to TRL 7. We had targeted Oklahoma for TRL 7. We can achieve TRL 7 in Wisconsin while we work on Pathway Approvals, while we work on ASTM Product Specification Approvals, all in advance of Oklahoma, and gives us a world class platform for all product and process development activities. We also earned and received the first $1 million out of three total in incentive awards from Oklahoma's quick action closing fund by committing to Oklahoma, which we've fully done. The second tranche will be billed as soon as we select and commit to our first site, which we're now down to three remarkable locations and starting to negotiate the terms. We'll pick the best one. As far as I'm concerned, they're all three fantastic. It's going to be a winner. We're also executing our nearly exclusive license agreement with Hexas, and we finalized our plans for our first fuel farm with Hexas in Oklahoma. People are still digesting the implications of XanoGrass on our model. As they start to understand that it can produce over 100 barrels of oil per acre per year, when compared to corn that sits at only 10 barrels, and soybeans that sits at two barrels per acre per year. We have effectively integrated the highest yielding perennial grown carbon with the highest yielding carbon processor. Please let that sink in. It's literally the carbon-negative oil well that never stops producing. Despite the time that we spent closing Marathon, it was a lot. And the time spent integrating Madison even more. And the time planning and integrating Hexas almost as much this quarter. Most of our time has been spent advancing the Series A, and we're on track for closing this quarter. So let me wrap it up all now with the strategic outlook for the rest of 2025. First with metals. Again, it's been operating its demo facility now for over a year. And last year, we submitted permits for the first industry scale expansion. The facility is sized to expand to 100,000 tons per year. And we would anticipate initially operating it at 50,000 tons of annual capacity, and then efficiently doubling that to 100,000 when the rate of end-of-life panels is secured. Likely that second step will occur in 2026. That means we'll spend $6 million to scale up that first 50,000 tons of annual capacity. We only need an additional $3 million, again, likely in 2026, bringing that 50,000 tons to 100,000 tons. We expect the permits to be for the expansion to be approved by the fourth quarter of this year. But as all that's happening, we continue working on securing these additional Master Service Agreements. That is long-term agreements, strategic agreements, preferred partner agreements with the most meaningful national and regional customers, bringing in panels and bringing in cash flow. As we previously said, billable revenues were expected to be six to eight times greater as compared to last year or well over $3 million with proportional future increases as we scale up the facility's capacity. Our expanded facility running at 100,000 tons a year would do $65 million to $75 million in revenues and a whole lot of cash flow for a relatively very, very low capital investment. Let me turn to the outlook for fuels. The big objective here is standing up fuels as a separate, well capitalized renewable fuels business through a directly financed spin out and ultimately a public offering, which means the biggest objective is closing on the Series A, and we're targeting at least $50 million in total and possibly more. The focus and funding will advance our objectives. Ultimately, fuels is looking to deliver 200 million barrels a year or over 8 billion gallons by 2035. That is an incredibly ambitious goal, and it is precedented. It's been done before. It's been done in the corn ethanol industry. It's been done by others, and it's frankly even smaller than what those other people had done, but it's big. We will also complete our site selection for the first bio refinery project in Oklahoma. That will include feedstock. That will include offtakes. That'll occur this year. And the site selection itself will include will come much quicker. We'll also begin securing additional and sufficient project level funding for that first facility. That's above and beyond and after the Series A is finished. We'll also execute additional revenue generating license and other commercial agreements that are already in the works. And while we expand our integrated Madison pilot production capabilities to up to 2 barrels per week of intermediates and fuels, we'll be doing that at the same time because each of these projects are now staffed with dedicated teams working in a coordinated and scheduled manner. We've got a lot going on, and it's all happening. We are also, from a core perspective, still working very hard on monetizing the rest of the portfolio. And we've got a lot of questions that came in from a mining perspective. We could not be happier with what's happening finally in the in the mining sector. But our corporate objectives for this year absolutely include monetizing that legacy real estate and the non-strategic investments for over $50 million. This has been painfully slow, but we are moving forward. We are fully engaged. Nothing is being held back, and it's actually got much more active as of late. The rapidly rising industrial silver demand primarily driven by solar and the ongoing geopolitical concerns have also created an incredible run up, unprecedented run up in gold and possibly greater setup for silver prices over the next several years. And we're seeing significant increases in strategic and financial interest in our mining assets for many for many things, either investing, acquiring, partnering. It's been a flurry. It seems like it's been a flurry. It's kind of remarkable. It didn't even start until gold hit, like, $3000, $3100. But it's becoming more macro now. We're seeing it across the board. The market for juniors, you know, has literally been dead for a decade. I can tell you that from experience. I've been here for the entire 10 years since 2015 when it just dropped off and died. It's 2025, and it now seems to be awakening. Our historic world class Nevada based mining assets remain fully permitted, remain well, very well positioned for any type of expansion and monetization, but they're not taking precedent over metals and fuels. So we're getting inquiries. We'll see what they translate into. We know what our resource in the ground is. We know that it can get bigger, but we don't have a gun to our head for those assets. So just to summarize, we're actively attracting some of the most advanced, capable, well capitalized, and innovative enterprises into our system, into our network, into our solutions. The Series A for fuels will be the next most tangible evidence that both unlocks tremendous value and positions the spin out of Comstock Fuels that creates two very high-growth companies, Nevada based metals and mining company and Oklahoma based fuels company. It's what we outlined in our shareholder letter in January, and it's what we're doing. So, Billy, good there. If you'd like, we can turn to the questions.
A - Billy McCarthy: Excellent. Certainly a lot to unpack there, Corrado, and we're getting a lot of questions coming in. I mentioned at the top of the call, we received over 50 questions before the call. And, let's try to tackle as many as we can. There's a lot of common themes we're seeing consistently through these questions. So I tried to combine them together and try to hit a couple points that that seemed very important to the to the people listening. You know, I know you just covered it, but just back on the mining and the resource assets, you know, maybe we could just lay out one more time, like, what the plan and the timetable really for restarting or monetizing those assets? And then just one more time, like, how do you think the macro conditions and how are they affecting our decisions on that? I think is what people really want to know.
Corrado De Gasperis: Yeah. It seems look. Everyone's bullish on gold. Gold's currently is well over $3,300 an ounce. What happened was and it's remarkable to me. Like, there was literally a quarter or two quarter delay in the macro equity markets responding to the majors. I mean, Barrick and Neuma had to post like 51%, 52% gross margins for people to start investing. And then you think Warren Buffett started investing in Barrick a couple years ago. So, everyone is slow to the till when it comes to the to these mining plays. The junior miners and now every analyst is just screaming that the junior miners are undervalued. Junior miners are undervalued. They're dirt cheap. We don't feel we have 1p in our valuation, relating to our mining assets. And we're experiencing significant inbound inquiry from many, many parties and Canadians too, believe it or not. Right? So we're getting a tremendous amount of inquiry. We're actively evaluating the options. You know, Billy's doing a bunch of work. These are like special projects for us. We cannot allow Fortunato on the metals team. We cannot allow Kevin, David, and the fuels team to be distracted. We're evaluating them. We're assessing them. I think something's changed. Like, something's different. Capital is starting to re-pool, not to mining, to junior mining. That's the big change. We also went back to the till with our with our Mackey deal. Interestingly, it wasn't fully closed out, and we're negotiating a higher price because, it's warranted. So I think, I want to temper the expectations because we we're going heavily, heavily with fuels and metals. However, we're going to have to allocate some resources to this because it's too strong.
Billy McCarthy: Excellent. Let's turn to metals for a second, and maybe you could just break down as clear as possible, like, projected timeline for the expansion we're doing, the milestones, permitting, financing, construction, and take us to the first revenues for the new facility.
Corrado De Gasperis: Yeah. Thanks for that. I there was so much happening with metals. I love the question to just be able to summarize a little more succinctly. So look, we are right in the middle of a permit for expanding the storage. So I'm going to just jump right out and say, in Q2, we're going to get a permit to expand significantly the storage that we have. It's adjacent almost adjacent to the existing processing facility, and we need that storage as soon as practical, Q2. Q3, we're working on financing. You heard me say, we don't need a lot of money to deploy this equipment into metals, but Q3, we'll look to that financing and we'll order all the equipment. The major permit that enables the industry scale facility, we're expecting by Q4 of 2025. The ordering of the equipment in Q3 allows us to synchronize the equipment and the permits coming together at the same time. That allows us to commission, construct, get it up and running by the end of, q one so we could have that first industry scale production and its revenue, second quarter. Remember, to the extent none of that slows us down in getting, master service agreements, in engaging large customers, and in frankly, even taking panels in advance. It's obviously the more production capacity you have, the better, but, nothing nothing's going to be waiting on it.
Billy McCarthy: That's great. I hope that helps clarify for everyone. Let's do something similar for fuels. But let's think about, you know, milestones 2025, 2026, 2027 sort of through the activation of the commercial facilities, both the demonstration facility and our full self-deployments, including the stuff with the licensees overseas. I think the real the real gist here is, like, what are those milestones that get us to meaningful revenue and cash flow in Comstock Fuels?
Corrado De Gasperis: Yeah. No. Good. Let me let me try that. So just recapping quickly the 2025 ones. Comstock Fuels spins out Series A for at least $50 million, Oklahoma site selected, final engineering for that same Oklahoma site, integrate Hexas into a demo farm in Oklahoma, get that fuel production coming out of Madison. And that's great, but alongside all of that, we're going to have many additional commercial supply agreements -- commercial supply chain partners, be it for feedstocks or offtakes, including Marathon's offtake agreement, you know, and more. We're going to have off takes with Elvis coming on board, with the work that David and Chad had already been doing. We're going to have more off takes, not just for biolum [Ph] and the oils, but for the sustainable aviation fuel. We're going to pull a monster amount of off take for sustainable aviation fuel. We're going to have in additional international licenses, including locations like South America, and Africa, and Asia. So we expect to see all of that occurring here. This is 2025. But then there's a whole another segment of the market when you talk about revenue that we have hardly talked about. Internally, we refer to it as integrations, but we expect to see meaningful “integrations of our solutions into other existing operations” like pulp and paper mills, sugarcane mills, even now with the ability to have your own purpose grown crops like a Hexas, corn ethanol mills. So you're going to see you're going to see us selling solutions that enhance pulp and paper revenue, enhance sugarcane revenue, expand yields, lower the cost of feedstocks. Our solution is extraordinary versatile, and it can integrate into other existing operations. The other thing too, is the international licensees, which we expect will grow even from the five that we've already announced, will start site preparations. So we expect to see some of that occurring this year and next year, which will then start up these engineering service revenues for us as well. David Winsness is prioritizing these monetizations for 2025 that can then show revenue and cash inflows for fuels. Plus, of course, the funding with the Series A gives us the capacity for making all these developments a new reality. Everything is capacity related. We need human capacity. We need the capacity to get into the market. For 2026, we're looking at placing the project capital. Obviously, that'll start with a $152 million project activity bonds, that we were so gracefully allocated from Oklahoma, but as well as project equity. We've talked about $235 million, $245 million, $250 million is the sufficient level to get in commence construction for that serial number one. Hopefully, in 2027, we're nearing the completion, the construction of that, which then is, you know, full scale deployment, you know, of our first site. So that's a lot. I mean, if you just walk down the lane of our first site, the revenue associated with that site will be complemented by licensing revenue, by integrations revenue, by other activities to go there. But critically, we'll be fully funded from the Series A, so that it's a laser focus to that to that end.
Billy McCarthy: Great. Look. I think this next question extends out of that. It generally starts with a comment about the Series A and how we're going to be funding fuels and a positive response to it. And the question is, how are we thinking about the growth of the other businesses, funding everything else, limiting dilution? Are we thinking about similar models? Are we engaging bankers? Maybe just walk through the general thought process.
Corrado De Gasperis: Yeah. Well, first and foremost, we'll be engaging bankers for fuels, right? We'll be engaging bold bracket banks, really, really sophisticated institutions to help us with that the deployment of that project activity bond, $152 million, plus the project equity associated with that first facility. However, we all have the same view. It's on a much, much smaller scale. When you take fuels out of the corporation's liquidity profile, it's the substantial majority of our spend, it’s the substantial majority of our liquidity. It's the substantial majority of our new investments. So, metals is much more focused thing, but the answer is yes. We already have strategic interest directly into metals. And there's huge value there but the capital is lower. So we're being a little bit more cautious with that funding. We also have remarkable access to debt financing. You know, when a facility has been operating for a year, the USDA loans become eligible. We also have the same possibility for the industrial revenue bonds. Obviously, it's Nevada, not Oklahoma. Obviously, it's a smaller number. So we're going to be very, very cautious here. We could do direct, subsidiary financing, but we're not going to give up a lot of this company because the speed at which it gets to cash flow is much, much higher and the capital required to deploy and get to it is much, much lower. So, I think that's it in a nutshell between settling the previous legacy, obligations, between funding the Series A, and I think I mentioned already that we probably expect to be at like 33 million shares outstanding at the spin off. Then it's just going to be a full focus on bringing these businesses to those cash flows that you're referring to. In both cases, we now have line of sight. There's still obstacles. There are still meaningful distances to go, but we can see the light. We can see the light. So I just want to repeat, we don't want to use those convertible bond structures. We want to focus on fundamental long-term equity investors, equity partners across the board. Guess what? It's already happening. Some of our largest investors have already approached us and said, don't do any converts. If you need a little capital, we'll be there for you. We see you getting to the light. So I guess, you know, that's nice. I mean, it's more than nice. It's deeply appreciated. But we're also mature enough now with this progress that more people are paying attention, more opportunities are evolving. And I'm going to tell you that e even though people generally talk about fuels as the 800-pound gorilla, I don't know what that makes metals a little monkey or something. It's ridiculous because both of these businesses will be in the billions of dollars evaluation and sooner, not later. So, it's beyond massive. The overall addressable market for fuels is staggering. When you talk about the TAM for fuels, it's staggering, it's beyond massive. But so is solar. I mean, the sheer magnitude of solar panels that have already been deployed, the hundreds of millions, the billions of panels already -- they've already been deployed. And then the growth of new deployments. I mean, I can't honestly imagine two better markets or two better, positions to be in than we are right now.
Billy McCarthy: Excellent. You talked a lot today about the team that we've built, across all these businesses. And I think a lot of people want to know, what are we doing from a strategic you know, what tools are we using to ensure alignment between the senior team, the operational management team at the different subsidiaries, and our shareholders, and most importantly, maintaining that alignment as we grow here very rapidly over the next few years.
Corrado De Gasperis: That's good. That's a good question. So, look, our models evolved, like, tremendously over the past four years. And when you think about it, just keeping this team together through so many difficult achievements. When you're talking about moving up the TRL scale, it's not for the faint of heart. And when you contrast to that, like, we know that we started this thing, with a small public company and I think that there's positives and negatives to that. I think net-net, we've seen much more net positives. And I think the reason that there's much more positive is I look at our top 20 shareholders, I look at our top 40 shareholders, I look at our top hundred shareholders. These are not necessarily typically the type of stakeholders that get to invest in this kind of opportunity. So to me, it warms my heart. From a management perspective, I don't think we've gotten any equity compensation. I know I haven't gotten any equity compensation, but there's no equity compensation. And I think people have already seen when we brought both these teams are not only entrepreneurial, they're founders. Fortunato is the inventor of these technologies. Kevin, Billy, Raul, these guys are the inventors of these technologies. And there's few more people in there, you know, Raul, Mike, all these folks listed on the patents decades ago. These are people who are engaged in what I would call their life's work. And if you look back at our disclosures, when we combine Fortunato's technology into our recycling scheme, he had the ability to have an interest of up to 20% of the subsidiary. And so everything's flowing now from like a subsidiary level context, which means it's performance based, which means, if this thing hits the billions and billions and billions, like everybody is going to be happy. We ended up rescinding that original agreement. I got a lot of questions about it, and I didn't answer any of them because it wasn't appropriate to do so. When you're talking about someone's specific compensation, and it wasn't finalized yet. But, anyway, we were sending the original agreement because it wasn't tax efficient and what we're doing now is we reconstituting those types of agreements, both for metals and fuels. So that we have tax efficient performance-based equity alignment that's going to unlock billions and billions of value. This is actually one of the major prerequisites of the Series A investors. It's like you're literally like in a venture capital mode where Comstock is the seed investor. Now you're going to Series A, you're bringing in sophisticated investors. You got to check the boxes. How's the tech? Check. You know, how's the balance sheet? Check. How's the management team? Check. So we put meaningful, meaningful performance-based subsidiary level equity incentives in place. We're looking to finish all of this work here in May. And I think we've previously said it, but if we haven't, we would like to give specificity around all of this by the annual meeting, which is coming up here at the May. So, I wasn't expecting to talk about this, but I'll tell you that I just want to repeat. These management teams, right, they're not common. And what's happening now is as we engage companies, right, Marathon's different like it's 800-pound gorilla. It's a monster. But when you start engaging companies like RenFuel, you start engaging companies like Hexas, you start engaging. There's many, many more. And you find a common founder/entrepreneurial/people who are purpose driven that means like they're fully dedicated, they're relentless. You need to have not strong alignment, strong alignment feels squishy to me. You have to have laser sharp absolutely forged in steel alignment. If you want to create something, if you want to achieve something that's never been done before. And I'll tell you, if people ask me what are we most proud of? Because I've been through experiences like this. Heads typically explode, alignment, emotionally, philosophically, strategically, operationally is very, very difficult to forge to that level of precision. We've done it here. We've done it here. And that's why I think if there's any reason that people would say, why is the Series A going to happen? It's because of that. The technology, yeah, it's prerequisite. A guy like Elvis, who's like, as it advanced the lignocellulosic material science as anyone else that we know, obviously is going to check the tech before he wants to join a company like ours. But II think that's a prerequisite. I don't think that's the closer. The closer is the team, the way we work, the way we work together, and how, is this train going to get to the finish line? Because I don't want to get on a train that isn't going to make it to the finish line. There's got to be sufficiency, and we have it. So, yeah. Sorry. I probably went off center a little bit with that question, but I appreciate it.
Billy McCarthy: No. It's all good. We're running short on time, but we're getting a lot of really good questions. Can we do a little lightning round and try to hit a couple of these quickly? You mentioned the patent portfolio. I don't know if you want to say anything about it. A lot of people have been asking about the recent publishing of some of our patents, including one for the production of graphite given your background running the largest industrial graphite supply chain for many years. Any thoughts?
Corrado De Gasperis: Yeah. Absolutely. So firstly, one of the first things that we did in 2021 going into 2022 was file and ensure that all of the interdependent activities that had occurred over the last, the previous four or five years, we put into what we were almost calling, like an umbrella patent. That one was just recently approved. It was sort of the one that really gave a lot of these inquiries from the market sort of popping up. Oh, look. The patent's being approved. The patent's being approved. In in the interim, we filed some others, like the one that you just referred to. We would think of that one as an adjacency. There there's a lot of discoveries that are happening in these carbon-based realms that when we stumble onto something or when we when we identify something that's new, that's novel, we'll file a patent to protect it. But in that second case, it's like an adjacency. It's remarkable, frankly, but it's not part of our current plan of commercialization, and it would be a drift to our focus. We can't allow that. So it should be viewed positively. It means that, we're because sometimes when you're working on something and you're trying to solve a specific problem, you unintentionally solve three or four, or you just, you just surface three or four novel things that have never been discovered or mentioned before, so you protect them. So you we have both.
Billy McCarthy: Great. Let's do a quick, question on Hexas. Given that the XanoGrass and other energy crops improve soil health and sequester carbon, is Comstock evaluating opportunities to monetize this through carbon credits or regenerative farming partnerships or other environmental incentive programs to create additional revenue streams?
Corrado De Gasperis: Good question. So first of all, let's emphasize that, you know, the XanoGrass and the XanoFibers are not just, remarkable from a yield perspective. They're perennial, which means that they're planted once, and then the root systems sequester carbon tremendously also enriching the soils. So they don't only function or can function at more than acceptable yields in marginal lands. They actually work to improve those lands over time, which is remarkable. They require sunlight, but relatively less water. So you have something extraordinary here, which is going to allow you to create oil wells in currently non-productive lands and currently non-productive areas. So monetizing even feedstock solutions, let's say even, if you're looking at a corn ethanol situation where they're paying, exponentially more for their feedstock and getting materially less for their molecularly identical ethanol, then we can have a feedstock solution, we can have an agricultural solution. We can monetize that. We can also monetize those carbon attributes that you just described. So I would put the integrations’ part. If it has anything to do with selling a solution into an existing infrastructure, it's a priority for us. It's a priority for us because we can deliver it today. If it has to do with secondary or tertiary potential benefits, even carbon credit monetization, for an example, it's on our plan, but it's not immediately the thing that's right in front of us.
Billy McCarthy: Right.
Corrado De Gasperis: I hope that helps.
Billy McCarthy: Okay. I think I think we're coming up on time. We've covered a lot of questions, and your prepared remarks covered a lot of stuff too. I'll just say to everyone, if we didn't get to your question, definitely send it to me at ir@comstockinc.com, and we're going to do our best to either respond directly or maybe what we like to do more these days is post a response on X, either Comstock or Corrado's account. If anyone's not following us on X, the company account is at @comstockinc. You should definitely follow us. We're trying to put a lot more content up there in real time. Corrado, before we wrap up, why don't we give you the floor to give us some final thoughts and please be sure to recap all the major catalysts coming up the remainder of Q2 and the rest of '25.
Corrado De Gasperis: Okay. For sure. So, let me go rapid fire on the catalysts coming up for Q2 and '25. So fuels. We got site selection. We got bulge bracket bankers for the bonds. We got the first Series A shoe dropping, strong valuation, spin out plan for fuels, very big, all the details, offtake agreement for fuels, Marathon, etc., strategic offtakes in addition to that, and feedstock agreements, licensing up and down the supply chain, monetization for integrations that's primarily focused as new revenues in the United States, and would result in revenues pre Oklahoma and then the production coming out of Madison shift. It's a lot. That's all this year. That's all coming soon. For metals, county permit for expanding the storage, more strategic customer for fuels, those MSAs, higher revenues, state permit for industry scale, capital and equipment for industry scale, corporate land sales, potential monetization, or capital for mining, higher silver prices for sure. And then lastly, I guess just looking forward to updating everyone on May 22, at our annual meeting. I guess I would I would just throw in, please vote your proxies as soon as practical. We're already well above a quorum. So we're in a smooth zone here, but we'd love to get as high turnout as possible as always. So for me, I want to just thank everybody. This would conclude our first quarter 2025, business update and earning call. And as Billy said, we we're out of time, but if you have any additional questions, we tried to aggregate them. We tried to kill as many birds with as few questions as possible, but just send them n, and we'll be happy to get back to you.
Billy McCarthy: Thanks, Corrado. Thanks, everyone.
Corrado De Gasperis: Thank you.